Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings and welcome to the Airspan Networks Holdings' Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. 00:27 It is now my pleasure to introduce your host, David Brant, Airspan’s Chief Financial Officer. Thank you, sir. Please go ahead.
David Brant: 00:36 Thank you very much. The following discussion will include forward-looking statements. Comments that are not a statement of fact including projections or future financial results or other items are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC filings available on our Investor website at ir.airspan.com. 01:07 We encourage you to review our earnings release which is available on our website. On this call, we will discuss certain non-GAAP financial measures. For the identification of non-GAAP financial measures, the most directly comparable financial measure, and the reconciliation between the two, see our earnings release and when filed our Form 10-Q. 01:30 I will now turn the call over to Airspan CEO, Eric Stonestrom.
Eric Stonestrom: 01:35 Thank you, David. Good morning and thank you for joining us for Airspan’s third quarter earnings call. Before we begin I'd like to extend a warm welcome to our new shareholders joining us today. I would also like to thank the analysts on the call for following the progress in our business and finally, a word of appreciation to our employees and partners. 02:02 The last eighteen months have challenged us in ways we had not previously imagined possible. With offices in eleven countries, our ability to execute our growth strategies required both intense commitment to top tier quality in our products and a high degree of team communication, both of which were tested by the challenges of the pandemic. We are fortunate that our employees around the world remain healthy. Thank you to all of you whose hard work is allowing us to thrive during this difficult period. 02:33 Today's call is our first quarterly earnings call since our August sixteen listing on the NYSE American Exchange under the ticker MIMO -- MIMO. My plan for the call is to take you through the enormous opportunity we see in front of us and explain what makes Airspan unique in our ability to monetize these prospects. Then our CFO, David Brant will take you through a number of exciting developments in the third quarter with a closer look at our financial results in addition to the highlights of our recent capital raise. And finally, David and I will take your questions. 03:14 Please turn to chart five in our presentation. Airspan was founded in nineteen ninety eight to bring real innovation to connecting people to telecom networks. Since then, we have been on a relatively consistent trajectory. In short, we build a wireless technology that connects users to the cloud. We're a U.S. based provider of groundbreaking disruptive software and hardware for 5G networks and a pioneer in end-to-end Open RAN solutions. 03:47 Airspan products are focused on end-to-end Radio Access Networks or RANS as they're known in the industry, including virtualization, base stations, backhaul, and network optimization solutions. These products address the approximately thirty billion dollars annual 5G and 4G LTE RAN market. Critical components of the approximately two hundred billion dollars spent on 5G infrastructure build-outs each year. 04:18 We are fortunate to have a number of well-known respected operators and thought leaders as our customers and suppliers and many of them have become investors as well. Having the world's leading 5G chipset provider in the industry in Qualcomm and the world's pre-eminent hardware manufacturer in Foxconn as financial partners, allows us to fight above our weight. They are joined by a number of financial and operating partners that round out a strategic financing base we are proud to have. 04:52 Technical innovation is a core part of our story, with hundreds of patents granted or pending due to the groundbreaking work of our nearly five hundred R&D and engineering employees around the world in the U.S., the UK, Israel, Turkey, and India. While cutting edge, our products have already succeeded at scale in the field. We have shipped one million radios to one thousand customers in over one hundred countries. Today our technologies are key components of some of the largest and most innovative networks in the world. 05:30 Please turn to slide six. A key attribute of Airspan success has been our industry leading deployments, many of which have been recognized and awarded by a number of our industry organizations. We're particularly proud of our network deployment in India for Reliance Jio, serving over four hundred million customers as well as our deployment of Rakuten's network in Japan, which is the first fully virtualized 4G and 5G network based on Open RAN. 06:01 Our history of groundbreaking innovation also includes working with Sprint, now T-Mobile and SoftBank on a highly scalable network deployment model as well. Reliance and SoftBank went on to become investors in Airspan, a testament to the capabilities of our product set and the ease of integration in both existing and Greenfield Networks. 06:24 Please turn to slide seven. Airspan is also proud to supply many of the top telecom service providers around the world, whether by interacting with the global carrier, private network, or public sector customer. We continue to see excitement from our impressive customer base around our solutions. 06:46 As we've grown, we've moved beyond a solely direct sales model, adopting a market channel strategy to accelerate and expand the go-to-market with both channels and many OEM deals. We're encouraged by the OEM partners we have in place and are excited to share more in the coming quarters on this front. 07:08 We have a track record of providing quality solutions to Tier 1 mobile network operators around the world, including Rakuten, Reliance Jio, SoftBank, and Sprint now T-mobile. However, our growth potential is not only in our existing addressable customers such as the traditional incumbent wireless carriers but also in challenges to the industry such as cable companies. 07:35 Additionally, the private network opportunity is exploding. We have seen successes there already providing the radio access equipment for Gogo's innovative air-to-ground business and developing cutting-edge technology for connected car applications including McLaren’s F1 racing team, and NASCAR partner SMT. 07:57 Please turn to slide eight. The demand for connectivity has grown exponentially in recent years. A trend accelerated by the global pandemic. End users today expect reliable high speed access to data and applications in all settings from virtual work to the office and from entertainment to gaming. This voracious data appetite has driven the need for upgraded 5G infrastructure. As incumbent challenger and novel use cases are built out, we're in the middle of the largest CapEx telecom cycle in decades and an unprecedented broadening of the potential customer base for Airspan to pursue. This shift in technology to accommodate faster speeds means a lot more cells and a lot more software and that requires more processing power at the edge of the network, exactly the area where we excel. 08:56 In addition to more customers, 5G networks require an order of magnitude greater volume of software licenses and services and RAN radios. Those attributes line up perfectly with our domain expertise and product set, which is part of what gives us great confidence of the opportunities ahead for Airspan. 09:18 To give a sense of scale over the last few years, Global 5G subscribers increased from fifteen million to four hundred million. By twenty twenty five, that number is expected to reach three point four billion making this a very deep market, given this profile an additional accelerators, which we will discuss in a moment. I often refer to this as the 5G tsunami. 09:43 Please turn to slide nine. It's not only the fact that CapEx is exploding from network transformation as we move from 4G to 5G, it is also the way in which this is happening that is so important to Airspan. The maps you see represented deployment we did for Sprint, now T-Mobile in Long Island, New York. 10:09 The fifty or so large macro towers on the left took about fifteen years to permit and build. As this network was densified, we installed more than twenty thousand cells in nine months propelling the operator from fourth position to first position. The results were tangible and powerful for our customers. To put these changes in context, there are approximately one hundred and twenty thousand towers in the U.S. serving mostly 4G networks. 10:40 We estimate in the move to 5G that number will exceed one million cells in the U.S. alone. So between carrier and private use cases, you have exponential growth in number of 5G networks but also given the characteristics of 5G radios you have enormous growth in the number of radios per network. These dynamics are what give us tremendous confidence in our opportunity going forward and have already paid meaningful dividends in our work with our existing large customers. 11:12 Please turn to slide ten. Now let's talk about our key markets. Today, Airspan operates in the three markets using wireless infrastructure, software, and hardware, namely global carrier markets, private networks and fixed wireless access applications. While we've touched on global carriers, we see explosive growth in the other two segments as well. 11:42 Our fixed wireless access business, Mimosa, purchased in twenty eighteen has doubled revenue since we acquired it and we expect to double it again over the next few years. Regarding private networks, we generally sell here through enterprise partners. The customer demand here is large from some of the most prominent companies in the world and this segment didn't exist prior to the latest technologies. 12:10 The use cases in this segment are endless power and communications for the IoT, Internet of Things, the factory and warehouse floor, stadiums, corporate and university campuses, air-to-ground communications, and connected cars. One private network build-out we are particularly excited about is with air-to-ground communications provider Gogo. We supply the radio hardware and software for what we believe will be the largest private network in the world so far covering the entire U.S. Stay tuned for more progress on that partnership. 12:50 Please turn to slide eleven. While the industry secular tailwinds for 5G are driving the largest CapEx cycle in decades, Western governments and the politicization of 5G have acted as strong accelerators of the adoption and growth of these technologies. These accelerators include direct funding to bridge the digital divide geopolitical tailwinds from the Western government's dismissal of Huawei equipment in their networks and resulting push for supply chain diversity away from the large legacy infrastructure providers. Wireless networks have become national priorities in solving the digital divide particularly in rural domestic areas and underserved urban districts. 13:41 In the United States, fifteen billion dollars of previously funded initiatives are just first being bid and allocated, while the recently passed infrastructure bill provides an additional sixty five billion dollars for broadband deployment nationwide. Being positioned as the only U.S. based fully integrated radio access company gives us a meaningful advantage in our ability to compete successfully for these projects. And these government initiatives are not limited to the United States alone. We expect billions of dollars of programs some already underway and Germany and in the United Kingdom as an example with more to come around the world. 14:27 Please turn to slide twelve. In addition to our technological advantages and equipment integrations to take minutes instead of months, we also sit in an unique position in our industry given the competitive landscape. 14:45 On the incumbent side, legacy vendors continue to push a large slow to change centralized network meaning all network hardware and software is proprietary. As far as niche players, they generally suffer from one drawback or another whether difficulty with reliability lack of integrated hardware and software offerings or lack of experience in large-scale rollouts. 15:12 In addition, we bring a distributed software driven approach to a traditionally capital intensive network equipment industry. We can see that this is being adopted by several MNOs for instance DISH announced the partnership with Amazon, meaning the full Open RAN software is going to run in the cloud. This substitutes lower OpEx for traditionally large CapEx, so we'll see a lot of innovation with this architecture. 15:43 Please turn to slide thirteen. Our end-to-end RAN solution means a one-stop shop to buy a fully integrated 5G network or parts of it to integrate with other vendors. This end-to-end experience gives us a global systems view having the hardware and software skills to obtain the highest performance and extrapolating this when integrating with other vendors, like in the case of Rakuten. 16:09 Our solutions are based on open standards which simplifies the management and monitoring of these products. This can be done with our tools or with third-party applications. We provide a 5G RAN network that offers peace of mind to our customers by designing a secure and resilient solution easy to install, to integrate and to manage. Airspan 5G RAN networks update seamlessly to the latest software releases to keep supporting groundbreaking applications and use cases for our highly demanding customers. 16:45 Please turn to slide fourteen. As we look out into the next few years, we translate the TAM in the tens of billions of dollars into a project funnel of three billion dollars across customer types. These are customer segments we're currently engaged with and where we have a solid plan to roll out our products. 17:06 As we transition into the financials, this is a great point to turn it over to David Brant, Airspan CFO.
David Brant: 17:16 Thanks, Eric. Please turn to slide sixteen. Twenty twenty one has been an exciting year of product innovation and revenue growth for Airspan. In addition, on August the thirteenth, Airspan completed its business combination with New Beginnings Acquisition Corp. The business combination and the concurrent private equity and debt capital raise produced one hundred and fifteen point five million dollars in net cash proceeds. 17:45 Year-to-date, we have had revenue of one hundred and twenty seven million dollars, up thirty nine percent over twenty twenty. Products and software licenses revenue in that period was up seventy six percent. We have strong gross margin year-to-date of forty five percent, up dramatically from twenty eighteen’s thirty two percent as we broaden our customer type and continue to add more software content in our product mix. 18:12 Gross profit for twenty twenty one through September thirty was fifty seven million, up twenty two percent over the prior year. We have continued to diversify our customer mix, both in size and geography. 18:29 Turning to slide seventeen. We saw revenue this quarter of thirty eight point nine million dollars, up eight percent from thirty six million dollars in the same period last year. Products and software licenses revenue, which exclude the legacy maintenance contract, which expired earlier this year was thirty two point four million dollars, up twenty nine percent from last year's third quarter. 18:53 We are encouraged by strong revenue from existing customers and expanding revenue in fixed wireless access after a record second quarter. Each of our largest customers placed the new purchase order in the quarter in addition to exciting orders on behalf of a tower company and our first purchase order from a second domestic cable company. We also received a purchase order from a major technology company for equipment to power connectivity on over twenty of their corporate campuses. 19:24 Gross profit of seventeen point one million was essentially flat to last year's seventeen point three million dollars. Third quarter net loss was twenty seven million dollars compared to a net loss of nine point nine million dollars for the third quarter of twenty twenty. Adjusted EBITDA was a loss of ten point four million dollars compared to a loss of six million dollars in the year ago period. 19:47 Gross margin was forty four percent down from forty eight point one percent in last year's third quarter with the majority of the variance due to supply chain pressures. These effects centered primarily around higher spot purchase prices for hardware components and expedited shipping expenses. While we have begun to pass some of these expenses on through price increases, we expect the increased cost impact of components to continue into twenty twenty two. 20:18 While the product growth is strong, supply chain challenges led to the delay of approximately twenty million dollars of shipments in the third quarter to one of our largest customers alone. We are working hard in a number of ways to mitigate supply chain challenges. In finding alternative components, looking critically at our designs and working closely with our partners Foxconn and Qualcomm. However, we expect such supply chain challenges to continue into twenty twenty two. 20:51 Please turn to slide eighteen and I'll take you through the outlook for our business. While encouraged from time business prospects, we are cognizant to the supply chain environment. Balancing these factors, we expect Q4 twenty twenty one revenue of fifty four million dollars at a forty four percent gross margin. 21:11 Looking out to next year, we anticipate top line growth in a range of twenty percent to twenty five percent accelerating through the year for a fourth quarter twenty twenty two annual run rate in the range of two hundred and seventy million dollars to three hundred million dollars. We expect an increase in gross margin to forty seven percent for the full year twenty twenty two and continue to target a long term gross margin of over fifty percent. 21:39 With that, Eric and I will open it up to your questions. Operator, please prompt for questions
Operator: 21:46 Thank you. Ladies and gentlemen, the floor is now open for questions.  Our first question is coming from George Notter of Jefferies. Please go ahead.
George Notter: 22:20 Hi, guys. Thanks very much. I guess lots of questions sorry. I guess maybe I would just start by trying to better understand the supply chain impacts you guys are seeing. I think you said you had twenty million dollars in shipments you couldn’t make in the quarter to just one customer is that -- can you give us the total impact on revenue for the quarter? And then maybe give us a sense for how that impacted gross margins also? 22:45 And then, I was curious about the supply chain impacts that you expect in Q4? And then also, do you expect supply chain impact to continue into twenty twenty two and how much might that be in terms of revenue and margin impacts? So any more flavors you can give us on that would be great.
Eric Stonestrom: 23:03 Okay. Hi, George. Eric, I'll start and David can fill in some as well. So, yes, we had significant challenges in the third quarter. Chipset de commits that came in along the way and that pushed some of the deliveries from third quarter into 4Q, it was a bigger number than twenty million dollars that was delayed and in fact, some of that won't go out until twenty twenty one – excuse me, twenty twenty two. We had component issues with the bigger partners like Intel and Qualcomm. We also have a series of folks like Skyworks that had shortages and wafers coming out of Taiwan. Semiconductor and we're managing this as we said in the script, engineering, alternative parts to the extent we can buying parts on the spot market and also looking for simplistic designs that are used in multiple places as opposed to more bespoke products that have less overall worldwide volume. 24:01 We see in the fourth quarter at least forty million dollars of product we had intended to ship this year that will slip out into next year. So, it's a continuing issue. Again, we're fortunate to have robust demand and that's allowing us to continue to see our growth as exciting as it is. What it does mean for twenty two, of course, is a more moderate outlook, really the conversion factor throughout the year is what we're concerned about. If parts are coming in with a seven or eight or nine month lead time that used to come in with a twelve or sixteen week lead time that requires a lot more thinking in terms of our build plan for the year. So we're being conservative there. 24:44 David, you might want to add some specifics on what it  gross margin line?
David Brant: 24:50 Yes. Thank you, Eric. Thanks for the question, George. So we mentioned in Q3 that we estimated the impact of approximately three percent or three percentage points of margin that’s were impacted and I think we see the same in Q4 and modeling out into the beginning of twenty twenty two. So it's -- I hope that it is -- as we get into Q2 and onwards, but we're being cautious in how we see the impact in it and it is increased components that we are competing with other people and the gray market is very -- has a significant increase in the prices and also shipping costs and lead times were extending. So that's what we're seeing at the moment.
George Notter: 25:47 Got it. Okay. That's helpful. And could you give us some sense for the demand side of things? I mean, any metrics you can share in terms of year-on-year order growth or backlog anything that can kind of give us closing and that would be great.
Eric Stonestrom: 26:06 Yeah. Just speaking, generally, the demand side is strong and the number of additional customers we're adding is robust. We aren't going in much more detail on that at the moment, but it's definitely hardening to be getting the number of new significant customer faces in our universe and we're seeing the markets in the three sectors that we talked about each showing robust demand. We did get orders from all four of our leading customers in the third quarter. So there's been no change of strategy or demand or direction and that's a very good thing.
George Notter: 26:42 Got it. Okay. And then I think you mentioned this on the call. You talked about the cable MSO opportunity, I guess, I was just interested in hearing more -- it sounds like you had a new customer that came in with orders, any more you can say about that? I know that there was a large customer that was doing a trial in a significant sort of metro area and looking at potentially a broader rollout. Is that customer opportunity still and it works you guys or you can tell us by cable?
Eric Stonestrom: 27:16 Yeah. We're very excited about the challengers and that opportunity is very much in the works. We're just concluding testing phases there as on schedule. And so that will be an interesting part of our first part of next year with the potential to turn into a significant CapEx spend. So absolutely no – it was exciting as ever. And I think the challenger case is as compelling as ever vis-à-vis the MVNO (ph) options. They are also presented with. And then we're excited we've added a second potential of customers there. And so we see this as a robust as ever, and I think our products are very unique in this area.
George Notter: 27:59 Okay. All right. I'll pass it on. Thanks very much, guys.
Eric Stonestrom: 28:02 Thanks, George.
David Brant: 28:03 Thank you.
Operator: 28:05 Thank you. Our next question is coming from Pierre Ferragu of New Street Research. Please go ahead.
Pierre Ferragu: 28:12 Hey, David. Hey, Eric. Thanks -- so that's taking my question. So I'm trying to -- what I'd like to try to do and maybe it's a bit of strategies kind of understand you know versus what you communicated in June for the next, like, four, five quarters, understand in the difference in terms of revenue trajectory, what could be clearly allocated to supply constraints and whichever further driver, we should take into account in terms of projects being delayed of significant rollouts being playing out at a lower scale and then you were initially anticipating or anything like that. So first of all to get the baseline right, so if I understand well, you guys had like a twenty million shortfall this quarter, it's mostly short like constraint then you're kind of like, forty million below where you thought you would be for next quarter. And for the overall next year, one hundred and twenty million below and with a clear trajectory of things catching up towards is back end of that. So question one is that the right way to think about it? And question two, how much of that is really  supply constrained that on which  any other driver of this like revision we should be aware of? 
Eric Stonestrom: 29:50 Go ahead, David.
David Brant: 29:55 I was thinking, thanks for the question Pierre. I mean, one of the challenges that we have been looking and looking out is that the lead times of extended to such an extent that our twelve weekly lead times are turning into eight months lead times since we're bringing with the components in as fast as we can and expediting those but that has an impact on what we can do for orders and how we can drive it. So I think very much supply chain driven is how we're thinking of twenty twenty two.
Eric Stonestrom: 30:31 Yes. And I would just like that, we've see no slowdown in demand and interest. So the challenges in execution, that's what we're very focused on, and I think that as David said, this problem will begin to alleviate in the second half of the year. We are being very conservative for the first half of next year, recognizing the landscape of Silicon and associated component de commits, commits, pull-ins spending extra money for extra parts in a prudent way. And that's why we have a less bullish expectation for the first couple of quarters of the year.
Pierre Ferragu: 31:09 Great. Thanks for that.
Operator: 31:17 Thank you. Our next question is coming from Chris Howe of Barrington Research. Please go ahead.
Chris Howe: 31:23 Good morning, Eric. Good morning, David.
Eric Stonestrom: 31:26 Hey, Chris.
Chris Howe: 31:27 Hi. Another question, I suppose on the supply chain, but then I'll get to questions that I would more like to ask. You talked about the impact in the quarter, twenty million dollars from the large customer greater than that amount, if we look at the totality of the supply chain in the quarter. Do you have a number of what that was year-to-date on supply chain related issues and other logistical challenges?
Eric Stonestrom: 32:03I would say that where it is twenty plus million. It's not over thirty million dollars we prove out twenty million dollars. It really started fighting in the third quarter where we found de commits where de commits of a single component would stop the build. So it was third quarter that I think was the biggest driver there Chris.
David Brant: 32:27 Yes. But on 4Q, we have about forty million dollars in hand that we could deliver that we won't be able to deliver. Again, more component de commits some success pulling in stuff we fight every day on this. But on balance, it's about forty million dollars in the fourth quarter as well.
Chris Howe: 32:48 Okay. The total year-to-date number, do you have that?
David Brant: 32:56 We spread it up that way, because some of the 3Q slips into 4Q, but it's reasonable to think it's a number in excess of forty.
Chris Howe: 33:05 Okay. And then I wanted to ask a question on slide thirteen. We've seen this slide before as we think about these challenging issues in the environments. Can you talk about the software end of the business and how you see that evolution over the next twelve months and perhaps as we accelerate into the latter half or into the fourth quarter of the next calendar year? This starts to offset some of the supply chain challenges and could lead to further gross margin potential as we get beyond the fifty percent marker?
Eric Stonestrom: 33:48 Yes. We're doing really well on software. We have introduced and we did a press release on the IoT, Interconnect that we succeeded on with Qualcomm, which enables our software to you and  to drive the CBRS handsets that are now proliferating in the U.S. And that's a big accomplishment in two aspects of our product line. It's in the products that are all in one, such as the strand-mount product that we make enabling some of these challengers to roll out CBRS now using a very good architecture and pay us for the software. I should add that. It's a distinct revenue stream for us. And then also in our virtualization efforts, we're doing a lot on virtualization. We're doing a lot of bids now and also transactions where we are licensing and selling our CUDU software or sometimes powering third-party hardware. So this is a very new growth area for us. 34:46 A lot of partnerships with OEMs that we've announced and mentioned and more to come. And this is really bringing this set of solutions into the private 5G side. In addition, a very strong set of specialty applications and software such as we do with air-to-ground, where we actually modify the air interface, we put a lot of our intellectual property into controlling moving objects very useful, obviously in air-to-ground, potentially very useful in connected car, connecting the Metaverse. So we got a really strong portfolio there now, that will start to make significant contributions in twenty twenty two.
Chris Howe: 35:24 That's great. And my last question here, just surrounding the initial guidance for fiscal year twenty two calling for twenty percent to twenty five percent revenue growth in that range that you mentioned. Can you provide some additional color as to the composition of that growth and how that growth is today from where it was perhaps three to six months ago and what you're seeing underneath that guidance.
David Brant: 35:58 Yes. The growth we're seeing as Eric said, we're cautious for the first half of the year and we see it going up to the two hundred seventy million, three hundred million dollars annualized in Q4. The mix I see is being continued growth of fixed wireless access products. There will be more 5G in private networks and I think that they will become bigger percentages of that revenue as opposed to our incumbent carrier revenues.
Eric Stonestrom: 36:33 Yeah. That said we're also going to see substantial increase in the challenger sector. So cable networks and the private networks such as air-to-ground, a substantial increase in revenue with orders already in hand.
Chris Howe: 36:50 Okay. Thank you for taking my questions.
Eric Stonestrom: 36:53 Thank you, Chris.
Operator: 36:59  Our next question is coming from Franco Granda of D.A. Davidson. Please go ahead.
Franco Granda: 37:07 Yeah. Good morning, everyone. Thank you for taking my questions. So I wanted to tough back on the fixed wireless opportunity. You talked about how revenues on Mimosa have doubled since you acquired it and you're looking to double that again. Can you perhaps talk about what that looks like over time perhaps, which of the new products that you’ve traditionally recently? It should be some of those big drivers or is it something that, you still need to close the gap on technology wise to accomplish that?
Eric Stonestrom: 37:39 Yes. It's a really a good question. We are so excited about our portfolio and what we've done with the Mimosa product line. We've introduced recently and announced publicly a gigabit plus solution, we estimate we're at least a year ahead of any competitor bringing product even the dominant names in the space. And there's a tremendous buzz among the user community about this. We're continuing to grow distribution when we acquired the business, it was basically anchored by several larger distributors. We've now added three to four times as many distributors in the mix, and that's not just crowding out existing markets by opening too many franchises that's distributors focused on different verticals, different geographies. And that's been an exciting journey. We've planted a lot of seeds this year that I think will really come through additional sales, especially with the new product that we have out there because everybody wants to get their hands on that. 38:41 The second thing that's exciting is we've added Senior Executive Amit Ancikovsky, who's focused on this business, exclusively and he brings a wealth of commercial experience and we've been able to bring more large potential buyers into the mix. We have over seventy thousand units of this product of the current generation deployed with Reliance Jio in India and that number is increasing very nicely. We also have a new product architecture that adds additional capabilities so that I think we'll even super charge that potentially merge in cellular offload into the same universe. That makes it more attractive to Tier 1 carriers. Carriers that didn't historically buy on license equipment that wouldn't typically buy from one of our competitors, the kind of household names because they need a Tier 1 style product with IP67 environmental with software management that looks like what they use on their 3G FTE base billions of dollars of CapEx. So we have a great start there with one big carrier. We've got a good path to get several more into the mix, everybody, whether they are cellular carrier, a fixed carrier, a fiber provider, everybody needs more connectivity to endpoints. And I think our portfolio to shines there. So, we are very excited on that. Obviously, the government stimulus is something that Scott it’s very busy. The recently announced sixty five billion dollars has got us very, very focused on building it a world class team to go harvest that. We've hired ahead of government affairs and we've got a really concentrated effort there as well as the money that was given to the state and local government in the budget signed earlier this year by President Biden, That's giving rise to certain states, states like Ohio, Kentucky and Iowa that actually are already soliciting bids for how to spend that money. And that's a really exciting growth area for us to. 40:43 Remember in those products, you don't have to own spectrum. So the key there as the market is as broad, as we can make it because anybody who needs to get connected can use these tools, it opens up a variety of different types of customers in addition to the big carriers we have sold to historically and we've got a great portfolio.
Franco Granda: 41:05 That is extremely helpful. And yes, it’s all very exciting. And then this obviously got a lot of examine around the new products, as you just mentioned here even with gigabit solution, Mimosa. But have you seen perhaps a rise in interest for some of your older products since given this supply constraint given that they might be able to shape up a little quicker or you're might able to get the components forward easier?
Eric Stonestrom: 41:31 Yeah. We're seeing a tail on things like the LTE. We have a product AS 1035 that we've booked over twenty five thousand units recently, which we hadn't anticipated and that's a good solid 4G product in markets where 5G and handsets are not proliferate yet in India as an example 5G licenses haven't been granted. They've been delayed and the handset expectations on 5G in India are very, very modest. Given the higher cost of the 5G handsets that's giving us a nice tail on 4G. We certainly see a lot of growth in 5G and a lot of commercial activity and innovation activity, but the nice thing is 4G is chugging along better than expected as well.
David Brant: 42:17 And just frankly, just you asked about supply chain, I think it does cover unfortunately, the slightly challenges cover products, 4G and 5G would to answer your other question.
Franco Granda: 42:33 
Operator: 42:39 Thank you. At this time, I'd like to turn the floor back over to Mr. Stonestrom for closing comments.
Eric Stonestrom: 42:45 Okay. Please turn to slide twenty. As we wrap up, we would reiterate the huge demand we're all witnessing for connectivity in every aspect of life. This is leading to a tremendous new appetite for data hungry applications like the Metaverse, which is further driving this 5G CapEx cycle. We feel we have the right product set and human capital to take full advantage of these tailwinds and look forward to updating you on our progress. 43:15 One last note, we will be participating in fireside chats and one-on-one meetings at the New Street Research, 5G, What Comes Next conference on Monday, November fifteenth and the Needham Virtual Tech Week event on Tuesday November sixteenth. We look forward with engaging to investors at both events. Thank you again, for your interest and support.
Operator: 43:39 Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.